Operator: Greetings and welcome to Pioneer Power's Q4 and Full Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to introduce your host, Brett Maas of Hayden IR. Thank you. You may begin.
Brett Maas: Thank you, operator. The call today will be hosted by Nathan Mazurek, Chairman and Chief Executive Officer; Walter Michalec, Chief Financial Officer; and Geo Murickan, President of Pioneer Power e-Mobility. Following this discussion, there'll be a Q&A session open to participants on the call. We appreciate the opportunity to review the fourth quarter financial results and recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During the call, management may make forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements containing the earnings release issued earlier today, which applies to the content of this call. I'd like to now turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Brett. Good afternoon and thank you all for joining us today. 2024 was a watershed year for our business. In the fourth quarter, we sold our Pioneer Custom Electrical Products unit, PSEP, including the E-Bloc integrated power system to Mill Point Capital for $50 million in cash and equity. Sales consideration was comprised of a cash payment to Pioneer of $48 million and an approximately 6% stake in Mill Point's new Volterra's energy transition platform. Concurrently, Mill Point also acquired Jefferson Electric, a storied electric transformer manufacturer from ERMCO in order to expand Volterra's into a key power solutions provider. We expect strong profitable growth for Volterra's and are pleased to hold equity in this platform. Subsequent to the sale, our Board declared a one-time special cash dividend of $1.50 a share payable on January 7th, 2025, to shareholders of record as of December 17th, 2024, essentially returning $16.7 million to our shareholders. Pioneer's remaining business is our Critical Power business, which is anchored by our e-Boost mobile charging platform. Indeed, most of our remarks this afternoon, including the financial presentation, will be focused on this business. Since launching our first truck mounted fast charging solution prototype, in November of 2021, we have grown e-Boost to a multimillion dollar business with revenue reaching $22.9 million in 2024, more than double the $11.1 million we delivered in '23 and way more than the $1 million of e-Boost product we delivered in 2022. Through engineering enhancements and market driven innovation, we have expanded our product lineup beyond the original truck mounted unit to include e-Boost Mini, a skid-based DC fast charger, easily movable with a forklift e-Boost Mobile, our flagship trailer based engine powered DC fast charger towable by a truck or tractor. e-Boost GOAT, a truck integrated DC fast charger modeled after AAA's roadside assistance. e-Boost POD, a containerized DC fast charger including engine designed for rural extreme weather and semi-permanent applications. With each solution, we have demonstrated our ability to innovate and adapt to a rapidly evolving market, customizing our units electrically and mechanically to meet diverse user needs. To-date, e-Boost is recognized as a leader in reliable, sustainably powered off-grid mobile EV charging. Indeed, e-Boost is eponymous with mobile high capacity charging in the electric truck and the electric bus market. To-date, we've delivered over 22,000 charging sessions and supplied more than 700 megawatts of sustainable off-grid power. Importantly, this diverse portfolio positions e-Boost as a leader in mobile and adaptable EV charging solutions. We remain committed to innovation and expansion, continuously bringing new products to market. By diversifying revenue streams, we aim to continue to drive sustained long-term growth. For the fourth quarter, this business delivered impressive year-over-year revenue growth of 265% and 106% for the full year of 2024. Importantly, the economics of our e-Boost business are highly attractive. We narrowed the loss from continuing operations in 2024 by nearly 50% compared to 2023 And even more importantly, as Walter will detail in a few minutes, when we have a quarter with almost $10 million in revenue as we did in 2024's fourth quarter, how profitable the Critical Power segment becomes and how well the operating leverage continues to play for us. As of 2024, our Critical Power, I'm sorry, as of the end of 2024, our Critical Power segment, inclusive of e-Boost, had a total backlog of $19.8 million an increase of 19% compared to the end of 2023. This backlog provides the basis for our revenue guidance for 2025 and reinforces our confidence in achieving or surpassing our guidance for 2025. Important to note that our revenue guidance for 2025 does not include any revenue or profit from our recently announced HOMe-Boost product. We announced the launch of our first residential offering HOMe-Boost last year. Building on our innovative HOMe-Boost residential solution, we refined our design to meet evolving market needs. In response to industry feedback and consumer demand, we are indeed expanding our product line to serve both high end residential and light commercial segments, including medical centers and cafe type establishments. Our enhanced offering will provide whole home 100% whole home backup power and advanced EV charging capabilities, essentially a virtual power plant for the home or smaller light commercial user. We're on track to launch the first units later this year, capitalizing on a growing market need for reliable, flexible power solutions. In short, the market opportunities for our e-Boost solutions are massive. Robust demand is being driven by rapid expansion, rapid EV adoption increasing demand from mobile and off-grid charging and for clean energy infrastructure. Markets we are most active in at this time are transit bus, school bus, electric truck and van fleets, large government and corporate fleets. Submarkets to that, that we concentrate on are sanitation, public works, construction equipment and airport ground service equipment. With rising EV adoption, inability of users to secure ample power for their needs and infrastructure gaps, e-Boost is well positioned to capitalize on the increasing need for flexible off-grid charging solutions. Importantly, with proceeds from the sale of PSEP and zero debt, we have the capital necessary to fund our growth plans over the next several years. Following the sale of PSEP, we are a more focused business. For 2025, we are reaffirming our revenue guidance of $27 million to $29 million. We expect the quarter-by-quarter cadence to be between $6 million and $8 million per quarter throughout 2025. We expect this revenue will be primarily driven by e-Boost product sales and rentals, along with service and maintenance revenues. Specifically, approximately $17 million from equipment sales and rentals, including approximately $2.5 million from long-term lease/rental agreements and more than $10 million in 2025 from service and maintenance agreements. With that, I will turn the call over to Walter.
Walter Michalec: Thank you, Nathan, and good afternoon, everyone. As Nathan mentioned earlier, on October 29th, 2024, we sold our California business, PSEP for $50 million in a cash and equity transaction, primarily cash, as we received total gross cash proceeds of $48 million, leaving our balance sheet in a very strong position. Our Critical Power segment, which includes Pioneer e-mobility, where e-Boost is the sole operating business unit that remains after the sale. Please be advised that we have included a non-GAAP financial measure of operating income from continuing operations, which excludes corporate overhead expenses, research and development expenses and nonrecurring professional fees. Please refer to our press release issued earlier today for further information, including a reconciliation between GAAP and non-GAAP financial measures. The press release can be found on our website at www.pioneerpowersolutions.com/investors/newsroom. Such non-GAAP measures should not be used as a substitute or alternative to any measure of financial performance calculated and presented in accordance with US GAAP. Instead, we believe this non-GAAP measure should be used to supplement our financial measures derived in accordance with US GAAP in order to provide a more complete understanding of the trends affecting the business. Fourth quarter revenue from continuing operations was $9.8 million compared to $2.7 million in the year ago quarter, an increase of 265%. The increase was primarily due to the significant growth in our Pioneer e-Mobility business or e-Boost. Fourth quarter gross profit from continuing operations was $2.8 million or a gross margin of 29% compared to gross profit of $610,000 or 23% of revenue in the fourth quarter of last year. The increase once again was primarily due to the significant growth in our e-Boost business. During the fourth quarter of 2024, our Critical Power segment incurred an operating loss from continuing operations of $1.1 million, a significant improvement from a loss of $1.9 million in the fourth quarter of last year. The improvement was primarily due to the large increase in revenue from the sale of our e-Boost solutions and the higher margins we are seeing from that business. During the fourth quarter of 2024, our Critical Power segment generated $1.6 million of non-GAAP operating income from continuing operations, which again excludes corporate overhead expenses, R&D expense and nonrecurring professional fees as compared to $100,000 of non-GAAP operating income from continuing operations for the same quarter in 2023, a year-over-year improvement of approximately $1.5 million. Net income from continuing operations for the fourth quarter of 2024 was $759,000 compared to a net loss from continuing operations of $1.4 million during the fourth quarter of 2023, a year-over-year improvement of approximately $2.1 million. Turning to our full year results. Full year 2024 revenue from continuing operations was $22.9 million compared to $11.1 million in 2023, an increase of 106%. The increase was once again primarily due to the growth in our Pioneer e-Mobility business as we recognized a large increase in shipments and rentals of our e-Boost equipment. Full year 2024 gross profit from continuing operations was $5.5 million or a gross margin of 24% compared to gross profit of $2.2 million or 20% of revenue in 2023. The increase to our gross profit and margin during 2024 was primarily due to the increase in sales of e-Boost equipment from the company's pioneer e-Mobility business. During 2024, our Critical Power segment incurred an operating loss from continuing operations of $5.2 million compared to $7 million in 2023, a year-over-year improvement of $1.8 million. During 2024, our Critical Power segment generated $1.7 million of non-GAAP operating income from continuing operations, which again excludes corporate overhead expenses, R&D expense and nonrecurring professional fees as compared to a non-GAAP operating loss from continuing operations of $1.3 million for the year ended December 31st, 2023, a significant year-over-year improvement of approximately $3 million. Net loss from continuing operations for 2024 was $3.3 million compared to a net loss from continuing operations of $6.3 million in 2023. That's a year-over-year improvement of approximately $3 million. Taking a look at our balance sheet. We had cash on hand of $41.6 million and zero bank debt as of December 31st, 2024 compared to $3.6 million of cash on hand and zero bank debt as of December 31st, 2023. The cash on hand as of December 31st, 2024, represents cash per share of approximately $3.74 as of December 31st, 2023. Also, as Nathan mentioned earlier, subsequent to year-end, we paid a onetime special cash dividend of $16.7 million in aggregate to shareholders of record as of December 17th, 2024. Today, we are reaffirming our guidance for revenue of $27 million to $29 million for the full year of 2025. This concludes my remarks. I will now turn the call back over to the operator for any questions.
Operator: Great. Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] First question here is from Rob Brown from Lake Street Capital Markets. Please go ahead.
Robert Brown: Hi. Good afternoon.
Nathan Mazurek: Hey, good afternoon, Rob.
Robert Brown: On the strong backlog and growth in e-Boost or outlook, what's sort of the driving that? Where are the customer segments you're seeing the activity? And how is the visibility look at this point in the year in terms of new demand coming in?
Nathan Mazurek: Yes. New demand is always coming in, but it's coming really the biggest bucket right now is some form of government, state, county, city, town. And it's usually related to transit or school buses, sometimes fleets as well. That's the biggest segment for us now. If you look at the more recent announcements with the City of Portland, it's going to be more government, quasi government-type groups, ports, transit authorities, people like that.
Robert Brown: Okay. Great. And you talked a little bit about the service equipment mix. How is that mix looking for '25? Are you seeing a fair amount of rental revenue in that [indiscernible]?
Nathan Mazurek: Yes. So we kind of budgeted $2.5 million in lease and rental type revenue for 2025. And I think that's what we'll do. We might exceed it by a little, but that's kind of the -- that's the thinking. We look to continue to grow that, obviously, with quality-type counterparties. But that seems to be for a lot of the large users that seems to be something that speaks more to them. And since they have the creditworthiness to make it worth our while, that's it's good for everybody. It's a more lucrative business, but we have to front it. So that's really -- that's the only downside for us.
Robert Brown: Understand. Okay. And then on the HOMe-Boost product. I think you talked a little bit about a redesign effort there. Could you kind of give us some color there and maybe how light commercial, I guess, how that expands in light commercial?
Nathan Mazurek: Yes. I mean HOMe-Boost, we've put together a special team. My goal was to have the team together by the end of 2024, which we did. It was me. It's on me. I kind of pulled it back in February, not because the product wasn't really ready for prime time, but the product itself is beautiful, but it didn't appear, it didn't cosmetically look as beautiful as I would have liked. It's a premium product to sort of a premium user. So we went back into make it look and feel that the person is getting not just in functionality, but they're getting aesthetically a value for the money that they're spending. And, yes, it's targeted to the high-end residential, somebody that's willing to spend, call it, $50,000, $60,000 to have full home backup. You're talking about homes that will typically be 3,000 square feet plus, probably more. And they want the full backup, prime rated engines as opposed to just a backup engine, the ability to produce their own electricity off their gas line 24 hours a day if they choose to, to switch back and forth between the grid as they choose to. And initially, when we launched this, especially the generator dealers and distributors were really the ones that almost in unison sort of designated the product for the medical center, small business that really wants super resilience and to be able to integrate charging for really just spending a little bit more than they do on a backup plan that gives them 24 hour 100% resilience. So that's where we're going to be headed with it.
Robert Brown: Okay, great. Thank you. I'll turn it over.
Operator: [Operator Instructions] Next question here is from Sameer Joshi from H.C. Wainwright. Please go ahead.
Sameer Joshi: Hey, good afternoon, Nathan and Walter.
Nathan Mazurek: Good afternoon, Sameer.
Sameer Joshi: Thanks for taking my questions. On the gross margin front, I think your fourth quarter gross margins were around 29% on nice revenues. Should we expect these levels going forward or was there something onetime in this fourth quarter that resulted in these gross margins?
Nathan Mazurek: Yes. I mean $9.8 million more than 50% was e-Boost product, less than 50% was service. That's a really nice mix for us. The gross margins on the product are higher than we get on service especially for customers that are in a lot of different places. So we end up subbing some of the service and adding a surcharge, so we can make something that definitely compresses gross margins on the service side. When the product sales continue to grow, if leasing continues to grow, so the gross margins are going to -- full gross margin picture should be there or maybe a little bit better.
Sameer Joshi: Understood. So then juxtaposing your fourth quarter revenues with your 2025 guidance, it seems like a run rate of $6 million to $8 million versus $10 million, which you realized in the fourth quarter. Is there a reason for this or was there -- as I think you mentioned more than 50% of revenues were from product this quarter and you are expecting around $17 million, $18 million from product next year.
Nathan Mazurek: Yes. We had one -- it was for the Los Angeles Department of Transportation. That's the city of Los Angeles, these transit buses, the buses, the inner city buses that move humans. It was one particular project of a little bit over $5 million that needed to be delivered in November. That was their window. The team did an amazing job to do it. At first, maybe they weren't so happy. But I'm talking about our own people, not the Department of Transportation. But we did it in a very short period of time and successfully met the internal markers and really came in at the gross margin that we expected. So that was a nice thing to complete all in one. We don't have any -- we have a large project that's split between the first quarter and the second quarter of 2025. But we don't have any one the size of DOT yet. But the year for us, I neglected to kind of where I think maybe Rob had asked and I didn't answer this part of his question. We're projecting almost an even $6 million to $8 million per quarter, depending on a few jobs moving here and there, but more or less $6 million to $8 million. Our year is, I'd say, 80% baked in already and the strength of the pipeline and orders that we hope to be announcing soon will support really not so much a little bit for to finish 2025. But essentially my head is already in '26. Most of the efforts now are building the first half of 2026.
Sameer Joshi: Yes, understood. Thanks, sir. Because I was going to ask that confidence in 2025 top line, given already strong backlog. Thanks for answering that.
Nathan Mazurek: You're very welcome.
Sameer Joshi: I think now you have around 25 million or just like 41.7 million minus 16.6 million or something like that.
Nathan Mazurek: Yes, something like that.
Sameer Joshi: Would you be looking for some strategic opportunities or would you rather do some organic in-house product mix?
Nathan Mazurek: Yes. So, yes, we're open to all of it, really. We're -- me, personally, I'm a serial acquirer. Prices are better now than they were a year ago or even six months ago. And there's a reason for that as well. I mean one thing that we're not going to do is I can't go backwards financially. I can't take on a bleeder. Unfortunately, a lot of businesses or enterprises that would maybe make a good fit on the charging side come with risks and built-in losses that we're not -- even in an egomaniacal day, I don't think we could turn around in time and would not be in the best interest of the shareholders. So we're kind of looking for ancillary, a little bit more in power, a little bit more in special forms of power, whether mobile or permanent in distributed generation. The appetite for power is endless. We were able to come up with something clever where we married the charging and unitized it within a certain package and made it mobile. But the essence of what we do is deliver on-site power. So that would really be the way we would go.
Sameer Joshi: Understood. And then just one last one like stepping back at the macro level. I do understand your backlog and engagement with the pipeline customers seeing very strong. But do you think any macro economical events or tariffs or any other uncertainties could have an impact on your outlook for 2025?
Nathan Mazurek: Yes. I mean it's baked into the outlook. I mean so the change in administration was not a positive for charging frankly. Most of the customers and clients we're dealing with, again, these are city states, whatever you want to call them, quasi-governmental agencies. They made certain decisions and they've crossed that Rubicon already. They're going electric. And they're making massive investments or have already -- they're already deeply pregnant. You can't, there's not a turning back, and that's where we are spending most of our time. From a tariff, I guess, chaos or uncertainty, even at worst, it wasn't going to have a major effect on us. The effect would be anybody's macro effect. Any receding of GDP or any slowdown in the economy is not good for anybody. So we're not immune to that. But nothing specifically or nothing of real -- nothing of note from an increase that we would see.
Sameer Joshi: Makes sense. Thanks for that. Thanks for answering again.
Nathan Mazurek: You're welcome Sameer.
Operator: This concludes the question-and-answer session. I'd like to turn the floor back to management for any closing comments.
Nathan Mazurek: All right. Thank you all for your time and support and we look forward to updating you again on our next call which will hopefully be right after the time to file the Q. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.